Scott Beilharz: Thank you, and welcome, everyone. We appreciate you joining us for this recorded discussion about our fourth quarter and year-end results. This recording will include remarks from Tim NeCastro, President and Chief Executive Officer; and Greg Gutting, Executive Vice President and Chief Financial Officer. 
 Our earnings release and financial supplement were issued yesterday afternoon after the market closed and are available within the Investor Relations section of our website, insurance.com. Before we begin, I would like to remind everyone that today's discussion may contain forward-looking remarks that reflect the company's current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors that may cause these differences, please see the safe harbor statements in our Form 10-K filing with the SEC filed yesterday and in the related press release. 
 This prerecorded call is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior risk consent of the Erie Indemnity Company. With that, we'll move on to Tim's remarks. Tim? 
Timothy NeCastro: Thanks, Scott, and thanks to all of you for taking time to learn more about Erie's performance in the fourth quarter of 2022 and our year-end results. As you're all aware, we find ourselves at a time of historic economic challenges. Inflation, supply chain issues and labor shortages to name just a few of the challenges have put substantial pressure on our bottom line, which we'll cover in more detail in a few minutes. 
 Fortunately, our perseverance through 98 years of stability is helping us adapt to and withstand the current financial climate. Our ability to adapt has also helped us transition to new ways of working over the past year. Throughout 2022, we returned employees and welcome new hires to our offices. 
 We also began resuming the in-person gatherings that have either been canceled or shifted to a virtual format for more than 2 years during the height of the pandemic. It's been a learning experience as we've introduced greater flexibility in how and where people collaborate and connect. 
 The majority of Erie employees are now working in a hybrid format, splitting their time between in-office and remote work. Many of our office spaces are now neighborhoods, a mixture of dedicated and flexible workspaces. And meeting rooms have been equipped with new technology that supports the experience of employees participating in both in person and virtually. 
 It's clear that the world of work has changed significantly over the past 3 years, and the competition for talent continues. That's why gathering employee feedback is critical to making sure we're handling these returns the right way. We'll continue to learn and adapt to these new ways of working to ensure Erie remains an employer of choice in today's tight talent market while maintaining the culture, traditions and relationships that are so important to us and distinctive to our service brand. 
 Before I share some additional updates from the past year, let's turn to our fourth quarter and year-end financial results. As I mentioned earlier, we are feeling the impact of the current economic climate, most notably in the combined ratio for Erie Insurance Exchange which was 116.1% for 2022 compared to 103.9% for 2021. 
 While we saw claims frequency remain slightly below pre-pandemic levels in the fourth quarter, we continue to see higher-than-usual severity. Auto repair costs are up 19.5% through December. The consumer price index was up 6.5% and more extreme weather events like hurricanes and owner storms are creating higher industry property losses. 
 Like the rest of the industry, we've responded to these economic challenges through rate increases, which we're doing with a measured approach along with expense management, adhering to our strict underwriting guidelines and agency profitability reviews. In this continued hard market, we know more customers will shop. While customers may be looking for a more attractive price they also demand a superior value proposition. 
 That's something that Erie offers, and we're pleased to see that reflected in our growth numbers. Our top line growth was strong this past year as premium growth climbed an impressive 9.2% and new business premium increased 14.5%. Overall, policies in force are up 3.6% and our retention rate remains strong at over 90% for personal and commercial lines combined. With that, I'll pass it to Greg for a deeper review of the financials. Greg? 
Gregory Gutting: Thanks, Tim. As Tim alluded to at the beginning of this discussion, the Exchange, the insurance operations we manage, continues to see unprecedented loss costs related to claim severity driven by inflation. Because of this steep rise in claims cost, we have quickly adapted to become more agile, as in a way that still compels us to perform for our policyholders and agents. 
 We have taken a more diligent approach to underwriting, and we've also taken a deeper look into our policy rate structures. All of these efforts are putting us in a position to deliver improved financial results as we are already seeing top line growth. 
 The Exchange direct written premium growth for the fourth quarter was 12.1%, driven by an increase in the average premium per policy and increased policy retention. For the year, the Exchange saw an increase in direct written premiums of 9.2% compared to 2021. The increase was driven by strong new policy growth of 3.7% and an increase in new direct written premium of 14.5%, combined with increased policy retention. 
 Turning to the results for indemnity. Net income was over $65 million or $1.25 per diluted share in the fourth quarter of 2022 compared to $55 million or $1.05 per diluted share in the fourth quarter of 2021. We 2022 total year net income was $299 million or $5.71 per diluted share compared to $298 million or $5.69 per diluted share in 2021. Operating income in the fourth quarter increased nearly $20 million or 31.7% compared to the fourth quarter of 2021. 
 From a total year perspective, Indemnity experienced an increase in operating income of $58 million or 18.3% compared to 2021. Management fee revenue from policy issuance and renewal services increased over $53 million or 11.8% in the fourth quarter of 2022 compared to the fourth quarter of 2021, and almost $175 million or 9.1% for the total year compared to 2021. 
 The increases in both the fourth quarter and total year were driven by increases in the direct and assumed written premiums of the Exchange. The total cost of operations from policy issuance and renewal services increased $35 million for the fourth quarter and over $118 million for the total year 2022 compared to the same periods in 2021. 
 Commission expenses for the fourth quarter grew $16 million while the total year commission expense increased $71 million. Similar to the management fees, the increase in both the fourth quarter and total year were driven by an increase in the direct and affiliated assumed written premiums. 
 Turning to our noncommission expenses. For the fourth quarter, Indemnity saw an increase of over $19 million compared to the fourth quarter of 2021. The fourth quarter increase was driven by increases in underwriting and policy processing costs, information technology costs, sales and advertising costs and administrative and other costs. 
 For the total year 2022, noncommission expense grew by $47 million compared to 2021. Underwriting and policy processing costs increased $6 million, driven by personnel costs as well as underwriting report costs. Information technology costs grew $13 million due to increased hardware and software costs as well as personnel costs. 
 Sales and advertising costs increased $7 million due to increased advertising and agent-related costs. And finally, administrative and other expenses increased nearly $23 million driven by personnel costs related to compensation and increased professional fees. 
 Indemnity's fourth quarter pretax income from investments totaled $300,000. This represents a decrease of roughly $12 million compared to the fourth quarter of 2021. The decrease was driven by losses in limited partnership investments. 
 Indemnity's total year pretax income from investments with just over $600,000, a decrease of $67 million compared to 2021. The large decrease is attributable to losses in our limited partnership portfolio of $10 million recorded in 2022 compared to earnings unlimited partnerships of $32 million recorded in 2021. 
 Indemnity also incurred $27 million in realized and unrealized losses in 2022 compared to gains of $5 million recorded in 2021. I will remind you that the limited partnership asset classes and runoff, and we continue to expect more limited and inconsistent earnings from this asset class in the future. 
 Finally, in 2022, we paid our shareholders dividends in the amount of $207 million. Also in December of last year, our Board approved a 7.2% increase in the regular quarterly cash dividend for both Class A and Class B shares for 2023. Now I'll turn the call back over to Tim. Tim? 
Timothy NeCastro: Thank you, Greg. Technology has not only become vital to how our workforce connects, but it's also an integral part of how we do business. This isn't new to us, but the speed and focus of technology has certainly been heightened over the past 3 years. 
 Erie's strategy in essence is to modernize our business model with greater digital capabilities while continue our investment in one of our most unique assets: our independent agency force. And because of the pace of technology, we're focused on acceleration and agility to get that strategic work done. This means working faster, working smarter and being nimble. It also means setting objectives and tracking key results to ensure we're hitting goals and time lines, engaging the effectiveness and success of our overall strategy. 
 Not only will this allow us to modernize legacy platforms and bring new products and services to market more quickly, but shorter run times for major projects and initiatives will also lead to expense reductions. This accelerated agile approach was used to launch a recent pilot for a new online quoting and agent routing program called [ cold flow ]. This aims to capture more digital prospects through a more streamlined quoting process, combined with personal interaction with an Erie agent. 
 It brings together the technology to meet customers where they are, with the human touch that differentiates Erie from the competition, which is exactly what our strategy is about. Following the pilot, we expect to expand the program to more agencies throughout 2023. 
 We also continue to invest in our new and enhanced ways to serve our existing customers. Our online account platform, which acts as a digital self-service tool for customers is now used by more than 1 million households, and chat services have become a popular feature of the customer experience. More than 22,000 conversations were handled by digital services team last year, an increase of more than 200% over 2021. 
 Based on recent survey data, customers rated the tool an average of 4.7 out of 5. 2 new products launched in 2022 are also showing promising early results. The combined Cyber Suite coverage, which protects businesses against cyber attacks, now covers more than 11,000 ErieSecure Business customers; and Extended Water Coverage, which was piloted in 2 states in early 2022 and roll off to 10 states within our footprint in the second half of the year, has been added to nearly 14,000 policies so far, protecting customers against certain types of water damage. 
 As we've always done, we're developing and refining these new products and services alongside our independent agents. The relationship we have with our agency force is unparalleled. We place a high priority on seeking their input, recognizing their successes and making sure they have the very best products, technology and business processes in place. 
 These efforts were recognized recently when Erie was ranked highest among personal lines insurers in the J.D. Power 2022 U.S. Independent Agent Satisfaction Study released in October. This is the second year in a row the independent property casualty insurance agents have rated Erie highest in satisfaction. Our independent agent distribution model has been a key driver of our success for nearly 100 years, and we will continue to build on that creation of trust and collaboration as we move into our second century. 
 Before we close, I do want to acknowledge some changes to our executive team that have been announced since our last call. As we shared publicly in November, Executive Vice President and Chief Financial Officer, Greg Gutting, will be retiring at the end of April. Greg is a familiar voice on this call, and he's been an extremely valuable member of our executive team, both for the wise financial perspective and expertise he offers and the institutional gained in his nearly 40-year career in Erie. His partnership will be truly missed. 
 Julie Pelkowski will succeed Greg to become Executive Vice President and Chief Financial Officer on May 1. Julie currently serves as Senior Vice President of our Enterprise Office. Prior to taking on that leadership role last year, Julie served as Senior Vice President and Controller. She began her career in 1991 with Deloitte & Touche and joined Erie in 1998 as an internal auditor before moving into various leadership roles within our finance division. Julie's years of exceptional leadership have positioned us strongly for the future. 
 Finally, we welcome to our executive team, Sean Dugan. Sean was promoted to Executive Vice President of Human Resources and Corporate Services on January 1. Since 2020, Sean has led our Human Resources as Senior Vice President. And prior to that, he held the position of Corporate Human Resources Officer. His 30-year Erie career includes leadership roles, corporate training and development, talent acquisition and community outreach. Sean's expertise in both business and support functions and his deep knowledge of the organization is a tremendous asset to our executive team. 
 As always, I'd like to thank our employees and agents for their dedication to our above all and service commitment, our shareholders for their continued support and trust and all of you, for your continued interest in Erie. Thank you all for listening in today. 
Operator: Ladies and gentlemen, this concludes the program. Thank you for your participation. You may now disconnect.